Operator: Ladies and gentlemen, thank you for joining the Silgan Holdings Second Quarter 2020 Earnings Results Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to Ms. Kim Ulmer, Vice President, Finance and Treasurer. Please go ahead, ma’am.
Kim Ulmer: Thank you. Joining me from the company today, I have Tony Allott, Chairman and CEO; Adam Greenlee, President and COO; and Bob Lewis, EVP and CFO. Before we begin the call today, we would like to make it clear that certain statements made today on this conference call may be forward-looking statements. These forward-looking statements are made based upon management's expectations and beliefs concerning future events impacting the company, and therefore, involve a number of uncertainties and risks, including but not limited to, those described in the company's Annual Report on Form 10-K for 2019 and other filings with the SEC. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in the forward-looking statements. With that, I'll turn it over to Tony.
Tony Allott: Thank, Kim. Welcome, everyone to our second quarter 2020 earnings conference call. We trust that everyone continues to safely navigate the ongoing COVID-19 pandemic. We continue to be grateful for our customers who continue to produce desperately needed products, particularly for home prepared food and health and hygiene products. We're proud of the many Silgan team members that have adapted to the new normal working environment and unselfishly come to work and perform at the highest levels, so that we're able to meet the increased demands of our customers and consumers. We take the safety of our employees and continued supply of these vital products very seriously. With that, I'll make a few comments about the second quarter and provide a few thoughts on the full year. Bob, will provide further details about the quarter and then Bob, Adam, and I will be happy to take any questions. As you saw in the press release, we delivered an incredibly strong quarter with record adjusted earnings per share of $0.85, a 55% increase over the prior quarter. These results were well ahead of our range of expectations for the quarter, due to the sustained nature of the demand levels throughout the quarter, and the truly remarkable operating performance across the board. Each of our businesses posted strong second quarter volume gains and delivered record segment income. While the consumer pantry stocking favorably impacted volumes early in the quarter, it is important to also note that double digit volume growth was sustained throughout the quarter in several key markets, indicating repeat consume - consumption patterns for home food and for hygiene products. Demand levels remain high in July, and we expect continued strong volume gains even in geographies where stay at home requirements have been eased. Just as importantly, each of our businesses operate at peak productivity levels during the quarter. We also closed on the acquisition of the dispensing business Albéa Group on June 1. While the demand levels for the fragrance portion of this business are negatively impacted by on-premise retail pullback from COVID-19, we are pleased with the integration and synergy progress thus far. We remain convinced of the long term fit of this business and our position on what we believe will be a strong market as COVID-19 restrictions are eased. As a result of our performance for the first half of 2020, and continued strong volume outlook for the remainder of the year, we are increasing our full year earnings guidance to a range of $.70 to $2.85 per share, up from the previous range of $2.30 to $2.50. This compares to a $2.16 in the previous year and represents a 28% increase at the midpoint. We're also increasing our free cash flow guidance to approximately $330 million, up from approximately $275 million. At the current share price that represents a free cash flow yield of nearly 8.5%. With that, I'll turn it over to Bob to review the financial results in more detail and to provide additional explanation around earnings estimates for 2020.
Bob Lewis: Thank you, Tony. Good morning, everyone. As Tony highlighted, our results for the quarter exceeded the high end of our expectations, as we benefited from sustained improvement in volumes in key markets of our businesses, strong operating performance across the board, and higher pension income. As a result, our adjusted earnings per diluted share were $0.85 for the quarter, up 55% as compared to $0.55 in the second quarter of 2019. On a consolidated basis, net sales for the quarter of 2020 were 1,180 billion, an increase of $83.3 million or 7.6%, largely as a result of improved volumes in all businesses, partially offset by the pass-through of lower raw material costs and unfavorable foreign currency translation. Results for the second quarter of 2020 included rationalization charges of $2 million, costs attributable to announced acquisitions of $16.1 million and the purchase accounting write-up of inventory of $3.5 million, which had an aggregate impact of $0.15 per diluted share, while the prior year quarter included rationalization charges $39.3 million, primarily for the announced shut down of two metal container facilities in the US, and the recognition of the withdrawal liability associated with the withdrawal from the Central States Pension Fund, which had an aggregate impact of $0.27 per diluted share. Therefore, we delivered adjusted income per diluted share of $0.85 in 2020 versus $0.55 in 2019. Interest and other debt expense decreased $2.6 million to $25.8 million due to lower average rates, partially offset by higher average outstanding borrowings related to the acquisition of the dispensing operations from Albéa and the incremental revolver borrowings outstanding during the quarter, as we proactively held cash and cash equivalent to ensure access to liquidity in the midst of the potential credit market disruptions as the consequences of the COVID-19 pandemic. Given the improvements in the credit markets later in the quarter, we did repay our incremental outstanding revolver in June, but maintain available revolver capacity that could be borrowed again at any time. The tax rate for the second quarter of 2020 was 25.8% higher than expected as a result of certain non-deductible deal costs. The 2019 tax rate of 23% benefited from the resolution of a prior year tax audit. Capital expenditures for the second quarter of 2020 totaled $41.3 million compared with $54.4 million in the prior year quarter. Year-to-date capital spending totaled $106.4 million this year compared to $116.2 million in 2019. We anticipate capital spending for the full year to be approximately $220 million, which now includes the recent acquisitions. This compares to $231 million in the prior year. Additionally, we paid a quarterly dividend of $0.12 per share in June, with a total cash cost of $13.3 million. On a year-to-date basis cash dividend payments totaled $27.1 million. I’ll now review some of the financial performance of each of our three business franchises. The metal container business recorded net sales of $597.2 million for the second quarter of 2020, an increase of $21.6 million versus the prior year quarter. This increase was primarily result of higher unit volumes of approximately 15%, partially offset by the pass-through of lower raw material costs, a less favorable mix of products sold and the impact of unfavorable foreign currency translation of approximately $2 million. The unit volume improvement resulted from continued higher demand for products consumed in the home and were partially offset by the volume benefits in the prior year from a customer who had been destocking inventory in previous periods. Segment income in the metal container business increased $57.8 million to $71.8 million for the second quarter of 2020 versus $14 million in the same period a year ago. The increase in segment income was primarily attributable to lower rationalization charges, the impact from higher unit volumes and increased pension income, partially offset by a less favorable mix product sold. Net sales in the closures business were $410.5 million for the quarter versus $363.4 million in the prior year quarter. This increase was primarily the result of higher unit volumes of approximately 3% and a more favorable mix of products sold, partially offset by unfavorable foreign currency translation of about $7 million and the pass-through of lower raw material costs. The increase in unit volumes was principally the result of strong volumes for consumer health, hygiene, personal care and food products, as well as the inclusion of recent acquisitions. These volume gains were partially offset by a weak demand for certain beauty and beverage products. Segment income in the closures business for the second quarter of 2020 increased $11.7 million to $58.6 million primarily due to higher unit volumes, a more favorable mix of products sold and higher pension income, partially offset by the negative impact of $3.5 million for the purchase accounting write-up of inventory of the dispensing operations acquired from Albéa. Net sales in the plastic container business increased $14.6 million to $168.8 million in the second quarter of 2020, primarily as a result of higher volumes of 14% partially offset by a less favorable mix of products sold, the [ph] pass-through lower raw material costs and an unfavorable foreign currency translation of approximately $1 million. Segment income increased $9.6 million to $23 million for the second quarter of 2020, primarily as a result of higher volumes, lower manufacturing costs and higher pension income, partially offset by a $2.8 million charge for a non-commercial legal dispute relating to prior periods. Turning now to our outlook for 2020. As you've seen in the press release, we are increasing our full year estimate of adjusted earnings per diluted share to a range of $2.70 to $2.85, up from the previous range of $2.30 to $2.50. The midpoint of the revised range of earnings represents a 28% increase as compared to the prior year adjusted net income per diluted share of $2.16. We're also providing a third quarter 2020 estimate of adjusted earnings in the range of $0.85 to $1, which at the midpoint represents a 22% increase versus the prior year record adjusted earnings per diluted share of $0.76. Given the uncertainties around the timing of the fruit and vegetable harvest in the US and Europe, results for the back half of the year could shift between the third and fourth quarters. Given the improved earnings outlook, we are also increasing our estimate of free cash flow generation to approximately $330 million, up from our previous estimate of approximately $275 million. That concludes our prepared comments, so we can open it up for Q&A. And once again, I'd like to remind everyone to limit their time to one question and one follow up. And we're happy to take follow up questions as time permits. So David, I'll turn it back to you to provide direction for the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Mr. Anthony Pettinari with Citi.
Bryan Burgmeier: Hi. This is actually Bryan Burgmeier sitting in for Anthony. Is it possible to say how much of the EPS and free cash flow guidance revision was driven by the inclusion of Albea versus strength in the base business? And then are there any changes to the working capital expectations versus the slight drag that you had indicated – I think in on the 4Q call?
Tony Allott: Sure, Brian. It's Tony, I'll give you the first one. I'll let Bob take the second part. So Albea, I'll give a slightly longer answer to that, and just start by saying that, we're very happy to have the business joining us Q1 [ph] We have been nothing, but impressed by the team that came over, really very solid organization experience in the dispensing markets, and so we feel really good about that, making good headway on synergies. So all that we feel very good about. If you look at the month, it basically had no meaningful impact, it was slightly dilutive, but that was primarily because of the purchase accounting. If you look for the remainder of the year, as we said in the press release, our forecast has that being not meaningful on either side. So not meaningfully accretive and not meaningfully dilutive. The reason for that, which we talked about last call is roughly half the business is in the fragrance market. The fragrance market is, of course, heavily retail-based and travel-based. So that market was off on volumes. Really, since the pandemic began somewhere between 25% and 30%, maybe a little over 30%. That continues to be true. Right now, until we see kind of the world get back to more normal retail, while e-commerce will grow somewhat. It's a small enough part of it, it's not going to change that much. And so, our expectation would be those kind of declines year-on-year through that. So therefore, really, the numbers you're seeing have everything to do with the base legacy business and really nothing at this stage to do with Albea, which we think will be really a strong performer once those markets come back. Working capital, Bob?
Bob Lewis: Yeah, just to take the second part of that, on the working capital side, we do see a slight benefit in working capital. Obviously, we're running at very high capacity levels, selling everything through. So we would expect that particularly on the inventory side, we'd start to see a benefit as we come through the year. That obviously, will be highly dependent upon the collection side of that, as well. We've been monitoring collections very closely and have not had any problems moving through the COVID pandemic so far, and we'll continue to watch that to the back half of the year. So that should be a benefit for us on the working capital line.
Bryan Burgmeier: Great, thanks. Yeah, that's really helpful. And then, you know, some food producers cited capacity constraints in soup in the second quarter. As you guys move more into like soup season, the second half of the year. You know, do you expect that you and your customers will be able to meet all the demand? And did you - did you suffer from any stock outs in the second quarter?
Adam Greenlee: Hey, Bryan. It's Adam. Good question. We actually were, you know, we faced all the challenges that were kind of thrown our way through Q2. And our operating teams did a terrific job as kind of Tony alluded to in the prepared remarks, meeting the demand of our customers. So no, we did not have any stock outs, really, in any of our businesses, but specifically in the can business, we were able to support a pretty dramatic increase in the soup side of our volume, as well. And you know, at this point, as we go forward, we've got a pretty clear understanding of our customers forecast, our ability to meet their forecast, and that's going to be embedded in the guidance that we provided for Q3.
Bryan Burgmeier: Great. That’s really helpful. I’ll turn it over.
Operator: Thank you. Our next question comes from Mr. George Staphos with Bank of Americas.
George Staphos: Hi, everyone. Good morning. Thanks for all the details and congratulations on the quarter. My two questions, Tony, Bob, team, Adam, can you talk a bit more about the growth you're seeing in your end markets within metal container? And, you know, second question, you know, from what you're hearing from your customers, what do you think is sustainable versus relatively one-off? And what are your customers doing, based on the windfalls that they're getting, to reinvest in their brands to take advantage of this and hopefully perpetuate? Or should we assume this is kind of a one-off benefit and, you know, in ‘21, and ‘22, can growth goes back to what had been the normal level? Thank you.
Adam Greenlee: Good question, George. I'll take the first part and let Tony take the second. So just focusing on Q2 and the markets we serve, particularly in the metal container business. Look, it was a good quarter all the way around. Everyone saw the CMI data. And you know, you really focus on, for us really three key markets in Q2 and that's our soup market, our pet food market, and our protein market, all of which saw substantial increases. You know, I think soup was up a little over 50% in the CMI data. We’re overweight to soup, so our soup number was actually a little bit greater than that. So what I think is really interesting, you go to a category like vegetable, which it seems to be the outlier in the CMI data, the market data at limited growth of 7%. Really, that's because of us. As we've talked before, we had one pack customer who we had planned to have volume shift from Q2 to Q3 during the year and that indeed happened. So there were several hundred million units of volume that we’ll realize in Q3, as we had planned to. So that's one example where, you know, I think the market was a little different than our experience. And then finally, pet food we've talked a lot about pet food and are overweight to that category. We again, we're above the market data for pet food from a volume standpoint. And what's been really interesting, we've had, again, it's been challenging meeting all of the volume requirements of our customers, but we've done it successfully. And, you know, there's been so much growth in pet food one of our large customers did have some difficulty sourcing protein for their products. So, our volumes were a little muted in pet food because they were not able to get all the ingredients that they had planned. And then thus [ph] prioritized their ingredients to their, you know, core markets that they serve. But I think from a market standpoint, that's what I’d tell you, George and I’ll pass it to Tony.
Tony Allott: Yeah, I think George on your second part of the question, we definitely do not view all of this as one-off, there obviously was a pantry stuff, if we look at the numbers, you can see a spike in that March, April period. I think what's really telling, as Adam went through is, you didn't see the destocking of pantries against that, and you saw continued double-digit growth. And so to us, it seems pretty clear that that consumption pattern is continuing on. And if logical, right, people are eating at home more, this is a great means to do that. And what makes us think this could be stickier is that everything that we've been saying all along about the can is by far, the lowest price point ways to get these foods, it’s the most sustainable means to deliver these food products that exists. All those values are there and people are being now exposed to the fact that it tastes good, that soup is good, it's got value. And so you know, sort of a new consumers being exposed to food cans and we think there'll be some continuation of that as we go forward. So as what are our customers doing about that? Obviously, they see the same, I think for them, you know, two main drivers, one, they're seeing more cans through their thermal processing. And that's really good for them in terms of financial. And as I said, it's a more sustainable choice than anything else that's out there, that they could be doing. And so our customers, by and large, are lined up and doing a lot on the marketing side, trying to educate consumers about how to cook with these foods. Use them more, doing that through e-commerce and other ways. And so we're really pleased to see kind of the focus and dedication customers are putting into it. And we're doing the same, we're spending more on marketing the value of the can, and we're, you know, we are all lined up to try to make sure that we can have this one opportunity to re-expose the value of the can to consumers and we're all trying to take advantage of that. Last thing, I'll just say is recall over the years, George, I know you and I've talked a lot about alternative packages and things that are shifting, for us again, it was always restaurants were our main competition, as we always said that it's more about people not eating at home. And so this is a fundamental shift to that question. And we'll see how long that shift goes on. But as long as economies are tough, we think there'll be kind of a sustained level of more at home consumption, which of course, Americans do less than really anywhere else in the world.
Adam Greenlee: And maybe just one more point, Tony, I'd add that, you know, if you look at our volume for cans over the course of 2020, thus far, we've had increasing monthly volume every month since February, with June being our largest volume month here to date. So it fully supports the idea that you know, there was some initial pantry loading, but there has been repurchase of canned goods in the market, and we're benefiting from that.
George Staphos: Sounds good. We just need some canned food restaurants. I’ll turn it over. Thanks, guys.
Adam Greenlee: Great, thought.
Operator: Thank you. Our next question comes from Mr. Mark Wilde with the Bank of Montreal.
Mark Wilde: Good morning, Tony. Morning, Bob. Adam.
Tony Allott: Hey, Mark.
Mark Wilde: I wonder just to start off, Adam can you talk with us about kind of any type of capacity constraints or kind of capacity issues you might be running into with these big gains in both food cans and as well as over in plastics. And on along with that, just any issues, kind of through the supply chain? Can you get enough tinplate, kind of transportation issues, things like that?
Adam Greenlee: Sure. Mark, look, we've been, you know, I don't want to say this was luck because there's a lot of effort and discipline that goes into the supply in our requirements contract, both in our food canned business and elsewhere throughout the Silgan companies. You know, being a requirement supplier, we are expected to be able to take surges to some degree. Now, I think the volume increases we've seen kind of exceed that, but our teams have done a terrific job in working with customers and understanding what their needs are and what their demand patterns are. And we've met those needs literally without fail on any occasion. So, you think about the capacity constraints, for the most part, our capacity is pretty well aligned with our customers filling capacity. So, you know, from my perspective, I would say, we're not really a bottleneck in the capacity or supply of capacity to our customers. So, you know, I think, you know, our customers, particularly in food, throughout this period of time have sort of consolidated their SKUs that they run on their filling lines, to limit changeovers, to increase productivity. And we've been able to walk, you know, stride for stride with them in that supply model. So that happened in our plastics business, it's happening in our closures, businesses as well. So it's been a really interesting process. I think one very interesting component here in our plastic businesses, our service and supply model is being rewarded on a pretty significant level right now, we're winning in the market. And I think we are, you know, exceeding expectations. And it's showing through into the bottom line of the business and does have some sustainable effects to it. As far as our supply chain, now back to kind of our resin supply and our metal supply. Again, it's kind of the same thing. We've worked very closely with our suppliers. We're managing it on a daily basis, and while maybe it's not always perfect, we've not had any issues, getting the products that we need to supply the significant increase of volume that we're seeing across the board.
Mark Wilde: Okay. That's helpful. And just one other little nit, that $2.8 million legal charge in plastics, is that issue completely resolved at this point or is there any potential tail there?
Tony Allott: You know, there's a potential small tail, I suppose, but nothing of meaning.
Mark Wilde: Okay, that's good. I'll turn it over. Thanks, guys.
Operator: Thank you. Our next question comes from Ghansham Panjabi with Baird.
Ghansham Panjabi: Hi, guys. Good morning. Just going back to George's question on - you know, the volume outlook for the back half of the year. What's embedded in your guidance in terms of metal food and plastics? And then also within closures how much came from legacy Silgan for the second quarter and versus Albea from a volume standpoint?
Adam Greenlee: Okay, great. Hey Ghansham, this is Adam. So I'll start with metal containers. Obviously, we're heading into our seasonally strongest quarter with the harvest and pack volumes coming through. So we're expecting a very strong Q3, so volumes, well into double digits, so kind of strong double-digit volumes year-over-year in our metal container business. On the plastics business, you know, we'll see another quarter have double digit year-on-year volume growth. And then over to our closures business, again, I think it's important to remember, we've said a couple times now, closure isn't necessarily a closure as a closure here. Because of the mix of the product, you think about our dispensing products, and I'll just say that the selling value of those products is something like 10 to 1 versus kind of our standard flat cap that we utilize and produce for food and beverage market. So, you know, when you think our Q3, we'll see continued strength in dispensing, we'll see continued to strengthen food. And then our beverage markets continue to be a little bit challenged, given the nature of what those beverage products are. So you think about the US market for beverage, we're largely talking about things like sports drinks, dairy products, like gallon jugs of milk, et cetera. Those have underperformed other parts of our business thus far in Q2 and we think while there will be some recovery, they are likely to be down a bit versus prior year. And then you think about our European closure segment as well with, you know, a high, volume of product going to what we'll call the hotel, you know, catering and kind of recreation business that is largely single serve premium products, and that model is under pressure as tourism is subsided, particularly in Europe. So, I think with all that being said, you know, dispensing is going to be up significantly. And so you know, we're looking at low double digits for the third quarter, I think foods going to be up low double digits for the third quarter and beverage, like I said, it's likely to be down just a little bit versus the prior year.
Tony Allott: So just want to add to that, Adam answered everything compared to the prior year on that, the one point I'd want to make is that, it's not quite as strong sequentially, if you will look at plastic or at the closures business and aggregate. Because in Q2, we you know, we basically liquidated inventory as well during that time that we don't have to do that. That's not as true for the food cam businesses, in the food game business we have to reserve some of our capacity for the Q3. So sequentially will go up in metal containers, but that'll be a tougher comparison if you will for plastic then for the closure business.
Adam Greenlee: Sure. And then Ghansham on Albea. Sorry, I was just going to say, Tony spent some time talking about the fragrance portion of the Albea business, that's by far the biggest driver. But our legacy dispensing business again will be up strong double-digit percentage year over year. And you know, we'll deal with the fragrance portion about Albea. The balance of their business is quite strong, just fragrances is a large part of it.
Ghansham Panjabi: Okay, that's great. And then just as my second question on the metal food segment, you know, per second quarter $20 million increase in operating income, on a near comparable increase in sales, can just help us reconcile the magnitude of that improvement. Was there anything apart from operating leverage that's in there?
Tony Allott: No really, it's just the power of our fixed cost assets and a lot of volume running across those - those that fixed cost base and pension which you're aware of.
Ghansham Panjabi: Pension, okay. Thanks so much, guys.
Tony Allott: Thanks.
Operator: Thank you. Our next question comes from Mr. Brian Maguire with Goldman Sachs.
Brian Maguire: Hey. Good morning, guys. Just a question on the mix in metal cans, wondered if you could talk about the volume trends in the US versus Europe. If there were any big differences there. I know Europe's a little bit less of a pantry stocking, but with everybody kind of eating at home, wondering if things may be even accelerated a little bit of Europe. And then similarly, I think in last quarter, you talked about some headwind in the foodservice part of the portfolio. Are you seeing any signs of improvement per cans into the food service market?
Adam Greenlee: Hey, Brian, it's Adam. Europe for us actually, the volumes in Europe were quite good for us. So we're very pleased with our European can business. I think that Q3 is setting up for an ice pack as well in Europe, so, you know, we can continue to feel strong that that's going to be a net contributor for us. So, you know, I think the rest of the comments, I would say, you know, do apply to the US market that we talked about earlier. And then I think the food service question, you know, that that's kind of our large cans, number 10 cans for the restaurant world, for the most part, you know, nothing's changed from that perspective. You know, I think restaurants are under pressure right now, as there is more in-home consumption. But you know, I think those are for the most part, those are pack related products. And I think there is an idea that the pack being a very strong pack, particularly in the US this year, that a lot of products that are lined up in cans regardless to take advantage of a good pack.
Brian Maguire: Just to clarify that, you know, the 15% volume growth in Kansas, that was pretty similar between the US and Europe, no real meaningful difference there.
Adam Greenlee: Yeah, roughly the same, actually Europe was a little bit ahead of the 15%, but not meaningfully.
Brian Maguire: Okay. And then just for my follow up, I think earlier, I think it was Mark's question, you talked about some customer changes, just wondering if - if you did see customers rationalized SKUs for cans, and if that was contributor to increased productivity and throughput anyway to sort of quantify what benefit that might have had for margins?
Adam Greenlee: Honestly, very difficult for us to quantify that, but it did indeed happen. And, you know, again, I think, you know, there's a lot of moving parts to meeting the forecasts for our customers and, you know, we were working very closely with them throughout the quarter as we always do. But you know, it increased their throughput, and you know, it's just hard for us to quantify what the bottom-line impact to us was.
Tony Allott: But to be clear, customers didn't do it so that we could get more cans to them, customers did it because it took cost out of their own system as part of their, so it easier for them to run less SKU. So if you're thinking we revert back, I don't know if that's the case or not. But you know, over time, you probably will see more SKU development. But I think, I think everyone saw a good reason at this time to kind of limit SKU.
Adam Greenlee: So limit cost and increase capacity to get.
Brian Maguire: Is it fair to say that, you know, the only reason to proliferate SKUs is to try and drive some growth into a stagnant market, and now that the consumer has kind of rediscovered the can, you just don't need that? So it's a cost saving mechanism. And it makes sense to just do it as long as you've got this, you know, period of outsize growth.
Adam Greenlee: I think that's right. And I think you're right that over time, you will, you know, the marketing group will want to do more of that. And they should I mean; I think that's the right way to continue the growth curve over time. So like I said, there will be proliferation. But it's I think, given everybody saw the value of what happened here, right, my guess it'll be slow. And it had been extreme for the couple years leading into the situation.
Brian Maguire: Yeah. Okay. Thanks very much.
Operator: Thank you. Our next question comes from Mr. Adam Josephson with KeyBanc.
Adam Josephson: Thanks. Good morning, everyone. Congrats on a really good quarter. Tony, just one more on food can demand, to the questions that George and others were asking earlier. If this - if you think this level of demand is sustainable, is it reasonable to think that come next year when we're looking at your volumes and CMI data that volumes would actually be flat or maybe even up mean, do you think that's a reasonable scenario to expect or do you think a level is - demand is so outsize this year that even if demand stays better than it's been historically, it would be reasonable to expect some declines next year.
Tony Allott: Yeah, good question. I thought I was trying to clear, I think without doubt, there is some entry stuff that there's some one-time bill that happened here, that will be a hard comp to go up against next year. And then there's some level of you know, there was a period of time here where restaurants were basically almost completely out of the game. That won't be the case a year from now. And so I think without doubt these you know, you'll have some volume negative comp on this to compare on that issue alone. But as our main point is, that doesn't go all the way back to where we were, at least, the data we see right now does not lead us to conclude it goes all the way back to where we were before. I think it's, you know, somewhere in between, I think the fact we're seeing strong double digits four months after customers are continuing to see that they're going to pack everything they can so that is their expectation. So all of that just leads us to think that you know, something like that double digit is sustainable. But you know, at some point you had, you know, things were up 23%, 24% I mean, that can be a tough cop next year for sure. Where the 10 to 13 is not you don't feel quite as bad about that one. So that's our basic feel on it that, a big chunk of that, though, ought to be sustainable, if we can continue to keep the story out there.
Adam Josephson: You know, appreciate that, Tony. And just one on Albea, the TTM EBITDA when you announced the deal was 77. Could you give us an update on just where that TTM EBITDA was at the end of 2Q and or kind of what level of quarterly EBITDA you're expecting for the balance of the year?
Tony Allott: Well, I think we I think you could back work this pretty well. We're basically saying that we're not expecting to be accretive nor dilutive for the remainder of the year. So I think if you if you do that, you're going to find that there's some, you know, 20-ish million off that number right now. Which makes sense when you think about, you know, 25% to 30% decline on the top line. So that's, you know, those are rough numbers for you. And frankly, we're early days on this. We've owned it, you know, for not even two months yet. So, you know, for the first time now we're in there figuring out what costs come out, given that, you know, that kind of volume production. More importantly, we're working really hard for the customers try to help them figure out how do they get back into a selling mode, and what's the best way to do that? How do they take greater advantage of e-commerce, which we have really good answers for them on that? So there is a lot of things that are going to take time for us to work out but we think long term will be really good for the business. But the short-term impact is a little less clear, and frankly, a little less important to us than the long-term opportunity.
Adam Josephson: I totally get it. Thank you, Tony.
Operator: Thank you. Our next question comes from Mr. Gabe Hajde with Wells Fargo Securities.
Gabe Hajde: Good morning, gentlemen, and congratulations on a solid quarter.
Tony Allott: Thanks, Gabe.
Gabe Hajde: You guys didn't define the police [ph] where you're at, so anyways, I know you guys don't necessarily look at kind of sequential moves and EPS, but I'm trying to bridge a little bit you know, kind of the implied $0.92 give or take of your Q3 guide versus on a sequential basis, you guys have historically seen on average over the past five years on $0.27 of incremental earnings from Q2 to Q3. I'm just curious if there's something you're seeing in the business, you mentioned a little bit of a sequential slowdown in volumes enclosures and plastics, but anything on the profitability side, manufacturing costs or otherwise that you're seeing that kind of gives you pause, or is it possible that you guys beat by $0.10 again on the top end of your guidance range, when we're talking in October?
Tony Allott: It's a good question. So it's really has a lot to do with Q2 in that case and not about Q3 at all. That normally Q2 is not a sold-out quarter for us, right, we're running capacity for Q3. So you've got just a surge in Q2 of the higher volume through liquidating anything you could on the inventory side, that's particularly true in the plastic and closure businesses. So what happens is you have such an elevated Q2, you come into Q3, which is Just you're essentially seasonally sold out, you just don't have that same opportunity to step it up to that same degree. So nonetheless, we're going to be up as you see solidly from prior year, but sequentially you just wouldn't be a typical year for Q2 was so strong.
Gabe Hajde: Understood. And maybe a follow up on Albea. I don't know if Adam, you answered the Albea question, I guess contribution, but specifically in Q2, would closure organic volumes have been down, excluding the Cobra and Albea acquisitions? And can you tell us what acquisitions added even on the revenue line enclosures?
Adam Greenlee: Sure, so, the answer is yes, closure, total closure volume would have been down in Q2 without the acquired volume. So, again, I'll just go back a little bit what I said you know, when you think about the three big markets that we serve, dispensing, food and beverage, you know, dispensing for the legacy business was up, you know, 16% you think about our food business was up around 11%, our beverage business which you know, is our highest volume segment from a unit volume standpoint was down about 8%. So that's how the quarter played out. So mix was incredibly favorable because we had so much growth in our dispensing systems products. So that's the legacy business and then from an acquired - the acquisitions were about $36 million, $37 million [ph] of revenue.
Gabe Hajde: Got it. Thank you, guys. Good luck.
Operator: Thank you. Our next question comes from Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: Great. Thanks, good morning and congratulations on the quarter. I guess, first off, I had some questions on the sequential move as well, so you answered that. I guess, looking out, maybe medium term, last couple of years you’ve talked about footprint rationalization and as it relates to certain customers and possibilities of that in North America. Have you kind of re-contemplated you footprint at this point, just given the change in the market and maybe even just comment, just generally on food can capacity, maybe we can start with North American, where you could also talk about little bit Europe? Thanks.
Tony Allott: Sure, Arun. Good question. On the footprint optimization plan that we kind of announced at the end of last year for our metal food container business, clearly obviously we’ve had a sizeable jump in demand for the full year of 2020. So we continue to evaluate all of those plans, I tell you that our number one focus is meeting demand requirements of our customers, so we wouldn’t do anything that would put back supply chain and jeopardy. So we’ll make that crystal clear. Therefore we have delayed the implementation a portion of that optimization plan and we’ll continue to evaluate that, I think to the earlier conversation, as we get a clear understanding of the stickiness of all the volume and really what is sustainable going forward, we’ll re-evaluate those plans and see how we want to forward. There is a portion of those plans that would be un-affected by this volume, that we’d anticipate moving forward later in the year as we had originally planned, but again all of that is subject to us meeting the needs of our customers.
Adam Greenlee: And then as far as capacity is concerned, again, as Tony said, we’ve got quite a bit of our volumes as related to requirement contracts. And we’ve done a really nice job pairing our capacity with our customers, our customers filling capacity and capabilities and feel very good about where we stand from a capacity standpoint. Obviously, we’ve been able to meet the increased demand in not only the US market, but also the European market we serve as well. So at this point, no need for additional capacity on our side, and we’ll just continue to evaluate how our capacity fits the market demand going forward.
Arun Viswanathan: And then also I guess, just some questions on uses of cash, so obviously completed the transaction on congrats on that, so maybe you can just discuss how you see [indiscernible] free cash flow, you’ve guided for this year, and then next year if there is any large step changes, even in working capital, you got more CapEx, how that would materially change that free cash number outside of growth?
Bob Lewis: Yeah, Arun. This is Bob. So as we talked about when we did the acquisition we thought we’d be kind of in the low to mid fours [ph] on a leverage standpoint, post-acquisition, with this free cash flow generation we’ll probably accelerate our deleveraging a bit from where – what the original plan was, and that’s just a strength of the free cash flow. I think the question of what we do with it really will be contingent upon what the overall credit markets look like as we come through the end of the year. As we said in our in our commentary, we did proactively borrow against a revolver just to protect our liquidity. If we see another kind of go around have that that tightness around liquidity, which is possible if things get tough again, then we would probably sit on cash for a short period of time. If we don't see that, then obviously we think de-levering is the right opportunity here. So we have a couple of choices in terms of how to - how to pay down debt to deliver. And then from there, you know, we will continue to look opportunistically at the M&A front and see what comes our way, but the priorities are to protect our existing business from a liquidity standpoint, first and foremost. And then to get our leverage back into the to the range of what our typical ongoing appetite is.
Arun Viswanathan: And then just lastly, on M&A and consolidation goes, do you think the food can market needs any more consolidation? It looks like it's pretty concentrated to us. And, you know, it looks like the dynamics have improved here. So is the market in a position or you could see any consolidation or rationalization or, you know, do you think that's unlikely at this point?
Tony Allott: It's Tony, you know, it's a little hard to gauge whether anybody in the market would do a transaction. I don't I don't think it's a market that necessarily needs consolidations, as you said, it's a pretty consolidated market already. So I don't we don't sit here waiting and finding for that to happen. It could happen, I suppose.
Arun Viswanathan: Well, I just I was more curious if that's something that you could potentially participate in.
Tony Allott: Yeah, it's - we look at every opportunity and we always have, we haven't done a meaningful food can deal in some period of time. So I don't know - if we could come up, but it is again, it hasn't happened in some time.
Arun Viswanathan: Okay, thanks.
Operator: Thank you. Our next question comes from Daniel Rizzo with Jefferies.
Daniel Rizzo: Hey, guys. Just one question you mentioned that mixes a headwind in metal containers, and I was wondering how we should think about that going forward, as you know, the pandemic kind of eases and economy recover, how we should think about mixing metal containers and really for all the segments, for the rest of the year?
Tony Allott: Let me try to pivot, you're right, we have - got mix that sort of riddled through here and it sounds like a negative. That's not necessarily the case. So things that drive mixed and food cans are we've been talking for years now about pet foods been growing, how protein has been growing. Those are - they had been growing before the pandemic and they really grew during the pandemic, so those just have the smaller cans, it's not definitely margin issue right now, but when you get into mix and driving volume et cetera you need to explain that. So it was not intended as a negative point. You will see in Q3 when we will experience as Adam alluded to is you may see laps restaurant five cans which are much bigger, so you could be a little further negative in Q3, which actually would have profit, in fact, just because of the dollar scale of that per can down to the bottom line is larger. So that's sort of the mixed story in the can. Then you talked mix and closures, as I said, it's really - a it's a great news story when dispensing grows, against you know, what really happened to the beverage was off because of the you know, what was happening, a pandemic and people went outside, we feel strongly that we'll come back at some point time it'll get hot or the pandemic will fade away. And so that'll settle itself out. But what's really important there is, we like the dispensing system, we've been spending investment there. We think that's a great spot for the future. And that's an area where you saw sizeable growth in product line. And that's, that's really important a valuable mix point. And the plastic is just a little bit more of kind of what you know, food up, or you know, what's going on the, you know, decide to package et cetera. So it's really meant as a negative mix is just the way we describe it.
Daniel Rizzo: Okay, so that's very helpful. Thank you. And then just, just one other question. And just with soup, I mean, I know some of this is pandemic related, but it seems like it's been rebounding for, I think I mentioned in the past, like three or four quarters now, I'm just wondering, what has changed? Like, how is the business changed and take, I don't know, the last year I over - I miss remembering that the best while not so good for about a year now?
Tony Allott: And maybe not quite a year, but yes, it's been several quarters in a row now and where it's been outpacing, certainly prior year, but maybe other aspects of the market as well. So, you know, I think what I would say Dan, is that our customers have spent a lot time talking to consumers and trying to reach consumers and, and reach new consumers with the message that Tony consistently kind of conveyed on this call to that there is real value in can soup. And, you know, the other aspect, I think, given what's happened, they do realize the benefit of leveraging their thermal systems and utilizing the can as a vehicle to sell more product. So, yeah, it's been a good story, obviously, you know, you look at kind of our monthly progression into, and it's a very good story year to date. And, you know, they're bullish on the rest of the year. We've got a good deal for Q3 and we'll see nice growth again in Q3, should continue to be a good story for us.
Daniel Rizzo: Thank you very much. Operator Thank you. Our next question comes from George Staphos with Bank of America.
George Staphos: Hi, guys. Just a quick here to finish up for me. Just when we look at the SG&A numbers year on year, I think they're up something like, you know, $20 million. Obviously, a good chunk of that's probably going to be Albea. But is there a way to parse what the source of that was? And again, really what I'm driving at is within the number that would be legacy, what is, you know, around development, marketing investment, if you will, to perpetuate the growth that you're seeing across your business? Thanks. And good luck in the quarter.
Tony Allott: Georgia, you’re right. The majority of the increases is all on the deal related costs. So it's everything from, you know, diligence costs, and financing costs. And like that, that drove that. I think the base business on an SG&A level is down across the board quite frankly, and in large part because you know, all travel has been restricted. So that, you know, we're communicating with customers in other ways and being creative. We don't have people, you know, flying around on airplanes and alive. So that's kind of what you're seeing there. And offsetting that a little bit on the, on the year over year increase side is obviously we've got some inflation and wages there, and that kind of makes up the difference.
George Staphos: So should we expect that to ultimately pick up at some point, beyond it kind of the rebound and travel and expand entertainment, but again, on development, marketing, the sorts of things that you'll need to reinvest in or know, hold that level? Thank you, guys.
Tony Allott: No, we have George - we should be able to hold that level, that is more or less embedded, the one that would most certainly all the R&D, those are all resources that are embedded in our costs. So there'd be no meaningful change there. The marketing effort around can would be one that that's already embedded in the current number, but we've been doing that, so no meaningful to others.
George Staphos: Thanks, Tony.
Operator: Thank you. Our next question comes from Adam Josephson with KeyBanc.
Adam Josephson: Thanks, everyone. Appreciate it. Bob on cash flow, just to follow up on some of the previous questions. Is there any Albea. contribution to the 330 of cash flow to what you got it for the year? And then how much do you expect free cash to be up next year based on whatever incremental contribution from Albea you're expecting? And just relatedly, is there any working capital impact on this year's number?
Bob Lewis: Yeah, the working capital number I talked about earlier on the call that we originally were thinking that that it would be little to no benefit, maybe even a bit of a consumption. I think now we're seeing the opportunity to bring a little bit of working capital out. So that's, that's part of the benefit that we're seeing in this year's free cash flow. Albea, I think Albea can cut either way depending upon where the fragrance market goes from here forward. So I would say a fair guesses to consider it neutral to plus or minus a little bit for the back half of the year. And in terms of given free cash flow guidance for next year, I think we got a long way to go between, you know, here and when we can provide guidance that that would be meaningful for next year around free cash flow.
Tony Allott: One of the hard ones for Bob to answer that is, you know, one of the things you might assume from this is, we've done a really spectacular job of supporting our customers through this time. Really, we don't - we don't tend to brag on our operating team, but if ever, there's a moment, it's now. So we're hearing from a lot of customers about long term future opportunities, given how well we performed and how well we've supported the market. So I just I think capital is going to be a little tricky for us to answer right now because we could have some really nice opportunities but before us, as we think for.
Adam Josephson: Got it, I appreciate that. Just one on steel tinplate. Can you just talk about how much those costs have fallen, weather that's been beneficial to you, and then what your expectation is for the balance of the year in that regard?
Tony Allott: Sure, Adam, you know, I think, you know, obviously are the biggest market that we play in is going to be the North American market. And, you know, I think steel and tinplate has kind of progress through the year as we had thought they would. So we're kind of seeing a high single digit kind of reduction versus prior year, as far as the annual cost change that that we've experienced thus far, and expect that to continue to the end of the year.
Adam Josephson: Thanks.
Operator: Thank you. Our next question comes from Mark Wilde with the Bank of Montreal.
Mark Wilde: Thanks. I've got just a couple of follow-ons. One, I'd like to get some thoughts just on margin targets by segment and it seems to me particularly in plastics you are doing much better right now than we would have ever expected? And then the second issue is the potential for some margin recovery in the food can business if demand remains relatively elevated, it seems like the industry lost some margin five or six years ago and new capacity came into the market. So I'm just curious, you know, thoughts about the potential to now recover some of that?
Tony Allott: Great, Mark. So margins, what to expect from here, right? What I would say is Q2 as I said, at least one tear, it had a lot of benefit of liquidating inventory, et cetera. So there's without doubt, there are benefits in Q2 that can't be sustained. So if you think about margins across the company really needs our business as a rate, it - you've probably seen the peak for the year would be our GAAP [ph] you're going to see on a rate basis, it's going to decline sequentially from here, which is fine, we're still going to be way above prior years, we're still going to have you know, in the can business higher volume through, so I don't mean that to be a negative, it's just what's going to happen to it. And that's the way we think about. So you're right, if you want to talk plastics specifically was a really great quarter, a lot of that is operational driven and not around volume or COVID. And so that's the inherent improvement we've seen for Adam could tell me how many quarters, but years in a row of improvement. We got a great team doing great things in there, and that's one of the areas where I would tell you that I think customers are waking up to the power of what we have to offer them in that market for one specifically. So that is - is really good. And yes, you're right, it's too good and Q2, and so it will settle back from there. What we have been looking for is something where we've said is sort of a 15% EBITDA margin, I think that is clearly in the bag now, and so I think we're beyond that and starting to push past that a bit. But again, not necessarily to the Q2 levels. Then your question on food cans and is there an opportunity given the increases year, what I would say is, you know, that we focus a lot on – we got long term customer contracts, we've got long term relationship with those customers. Our view as Silgan wins by supporting the hell out of our customers and letting them win in the market. And that's where we make our money over time. And we are - we're a consistency to them in terms of pricing, supply, et cetera. So we are not looking for short term benefits from that in terms of margin recovery and like price. But that doesn't mean that over time, as they come around that our position might not be strengthened that we would expect to get our share of that strengthening position, a better return. But I think in our case, given our model that's going to be a more of a gradual problem.
Mark Wilde: Yeah, that's what I would have assumed. But just thanks for the thoughts on that, Tony, and good luck in the second half of the year.
Tony Allott: Thanks, Mark.
Operator: Thank you. At this time, we have no other questions in the queue. So I'll turn it back to Mr. Tony Allott for closing comments.
Tony Allott: Great. Thank you, David. Thank you, everyone. We appreciate your time, and we look forward to talking to you in late October about our third quarter. And good day.
Operator: Thank you. Ladies and gentlemen, that concludes today's presentation. You may disconnect your phone lines and thank you for joining us this afternoon.